Operator: Good day, ladies and gentlemen, and welcome to the first quarter 2010 Nektar Therapeutics financial results conference call. My name is Dianna and I will be your operator for today. At this time all participants are in a listen only mode but later we will conduct a question and answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Ms. Jennifer Ruddock, Vice-president, Investor Relations. Please proceed.
Jennifer Ruddock: Thank you, Dianna. Good afternoon everyone and thank you for joining us for Nektar Therapeutics' first quarter 2010 financial results conference call. With us today are Howard Robin, our President and CEO; John Nicholson, our Chief Financial Officer; Bharatt Chowrira, our Chief Operating Officer; Dr. Lorianne Masuoka our Chief Medical Officer and Stephen Doberstein, our Chief Scientific Officer. Before we get started, please note that the following presentation contains forward looking statements that reflect our current views as to the Company's business strategies, the value and potential of our technology platform, the progress and potential for our proprietary drug candidates, the future economic potential under certain of our partnership agreements, the potential market size for certain of our drug candidates and those of our partners, our financial guidance for 2010 and other future events and opportunities related to the Company. These forward looking statements involve significant risks and uncertainties that are detailed in Nektar's reports and other filings with the SEC, including our Form 10-K annual report filed with the SEC on March 3rd, 2010, our report on Form 8-K filed today and our Form 10-Q quarterly report to be filed following this call. Actual events could differ materially from these forward looking statements. We assume no obligation to update any forward looking statements as a result of new information, future events or developments. A webcast of this call will be available for replay on the Investor Relations page at Nektar's website at www.nektar.com. With that, I would now like to hand the call over to Howard Robin, our President and CEO. Howard?
Howard Robin: Thank you, Jennifer and thanks to everyone for joining us. Nektar continues to make great progress advancing our clinical pipelines of drug candidates that we created using validated polymer conjugate technology platform. Today I'm going to update your on our achievements in the first quarter of 2010 and also highlight a number of milestones and objectives for our R&D programs. I'd like to start first with a focus on our two clinical stage oncology candidates, NKTR-102 and NKTR-105. Both investigational compounds utilize our advanced polymer conjugate technology to potentially greatly enhance widely used chemotherapies. Irinotecan [ph] in the case of NKTR-102 and built a tax hole for NKTR-105. Most drugs that are used in the treatment of cancer are given every two to four weeks, despite the fact that their half-life ranges from only a few hours to a few days. This means that for most of the length of cancer treatment cycle, the tumor is not exposed to drugs. Using our proprietary technology, we have engineered NKTR-102 and NKTR-105 to have reduced peak plasma concentrations, longer half-lives and continuous exposure profiles with the twin goals of prolonging tumor exposure to the drug, while at the same time reducing toxicities associated with these agents. We believe that our technology offers the opportunity to design a cancer treatment with superior efficacy, an improved safety profile and potentially broader activity against a variety of tumor types. NKTR-102 is our most advanced anti-cancer compound. We're evaluating it in three Phase 2 clinical studies in ovarian, breast and colorectal cancers. With NKTR-102, we are demonstrating how our polymer conjugate technology successfully alters the PK profile of the parent molecule to allow for sustained exposure of drugs to tumor. The half-life of the active metabolite of irinotecan is about 48 hours. In a typical irinotecan chemotherapy regimen therefore, tumors are getting drug exposure for a relatively short time and then two or three weeks pass before the next dose, during which time tumor cell division continues. In addition, Irinotecan has a high Cmax which can result in acute toxicity. In contrast NKTR-102 was designed to have a much longer half-life. In our clinical studies it has demonstrated a half-life of approximately 50 days. In addition, the benefits of an optimized PK profile with a markedly reduced Cmax is that the drug also may offer advantages in its side effect profile, compared to the profile of the parent molecule. Results from our Phase 2 trial in Platinum-Resistant Ovarian Cancer were accepted for presentation at the upcoming ASCO meeting in Chicago on June 6th, during the gynecologic cancer oral session. The data from the 71 patient study evaluating single agent NKTR-102 will be featured in an oral presentation given by Dr. Ignace Vergote. Dr. Vergote is the lead clinical investigator of our Phase 2 study and head of obstetrics and gynecology at the Catholic University of Louvain, Belgium. He has also served as chairman of the European organization for the research and treatment of cancer, gynecologic cancer group and is past President of the European Society of Gynaecological Oncology. Following Dr. Vergote's presentation of the data, NKTR-102 will also be discussed in a session led by Dr. Claire Verschraegen, head of the gynecologic cancer unit at the University of New Mexico. We are incredibly proud that the NKTR-102 data was selected for this prestigious oral session with ASCO. Our clinical investigators continue to be extremely enthusiastic about NKTR-102 and platinum resistant ovarian cancer and the benefits it may provide to women with this devastating disease. Ovarian cancer is the fifth deadliest form of cancer for women. In the U.S. alone 21,000 new cases of ovarian cancer are diagnosed annually and 15,000 women die from the disease every year. Most women are first diagnosed with metastatic disease which is treated with platinum therapies. Eventually women become resistant to platinum and when that happens, the best indicator for prognosis for them is their platinum progression free interval. This is the period of time that the tumor is controlled following treatment with a platinum containing regimen. Women with platinum resistant ovarian cancer are typically defined as those that progress within six months of their last platinum therapy. In general, their disease responds very poorly to all forms of further treatments. Once platinum resistance develops, a woman's progression free survival on subsequent agents is short and is usually shorter than their prior platinum free interval. Given the high response rates from the stage 1 patients in our NKTR-102 study, a question that frequently comes up by physicians is what was the mix of platinum resistant and platinum refractory patients in your study. This is because one would expect that a study with high response rates would have mostly platinum resistant patients with longer platinum free intervals. But in fact, the women in our study were predominantly platinum refractory with exceptionally short platinum free intervals, far less than three months. As we previously reported, 77% of the patients in the first stage of the study had previously progressed within three months of their last platinum dose. Approximately half of these patients were platinum refractory, meaning they had progressed during platinum therapy with a platinum free interval of less than 30 days. Earlier this year, we released impressive preliminary data on the primary end point of objective response from the first stage of our Phase 2 study in platinum resistant ovarian cancer. For the 39 patients that were evaluable for efficacy at the time, confirmed GCIG response rates were 32% and 35% for the Q14 and Q21 day doses respectively and the confirmed resist response rates were 21% and 22% respectively. Typically one would expect to see little or no response in these predominantly platinum refractory patients and investigational drugs and developments for platinum resistant ovarian cancer continues to demonstrate marginal benefits for these women. As a result, we are extremely encouraged by the potential of NKTR-102 to treat women with ovarian cancer and we look forward to the presentation of our full results from the entire 71 patients in the study at ASCO. We're also evaluating NKTR-102 in breast and colorectal cancer with Phase 2 clinical trials under way. First I'd like to update you on the status of our Phase 2 trial and evaluating single agent NKTR-102 patients with metastatic breast cancer that have received a prior taxane containing regimen. I am pleased to announce that we recently completed an enrollment with a 70 patient study and a majority of the patients enrolled in the study remain on drugs. As with our ovarian cancer study, we are encouraged by the multiple responses seen to date in the first stage of this two-stage trial that includes difficult to treat patient populations. The enthusiastic response from members of the clinical investigator community for NKTR-102 helped us complete enrollment quickly. We look forward to sharing preliminary data with you from the breast cancer study in the second half of this year. In the colorectal cancer setting, our Phase 2 clinical study is ongoing. This randomized 174 patient study evaluates NKTR-102 against irinotecan and second line colorectal cancer patients with the K-Ras gene indication. We anticipate that we get to our first preliminary data from this study towards the end of this year. The use of single agent irinotecan in the second line setting is a typical as it is more commonly used in combination therapies with 5-FU regimen. This combination known as (inaudible) is current standard of care in second line colorectal cancer in the U.S. In preclinical animal models we observed significantly better anti tumor activity with NKTR-102 in combination with 5-FU as compared to irinotecan and 5-FU. Data from these preclinical studies will be presented on July 3rd at the ESMO Congress on gastrointestinal cancer to be held in Barcelona, Spain. We recently initiated a Phase 1 study of NKTR-102 in combination with 5-FU in order to identify the best dose of NKTR-102 in this regimen. Both, the Phase 2 study of single agent NKTR-102 in K-Ras patients and the Phase 1 study of NKTR-102 in combination with 5-FU are designed to support our ultimate goal of replacing irinotecan usage in the colorectal setting. With our continued progress on NKTR-102, we are receiving significant interest from pharmaceutical companies and the drug. Our goal is to enter into a partnership for NKTR-102 this year and we are exploring a variety of potential partnership structures that seek to best optimize the value for our shareholders. NKTR-105 is our second oncology program that is currently in a Phase 2 study. It applies our advanced polymer conjugate technology to Docetaxel, a self cycle chemotherapeutic approved for use in many solid tumors. As with NKTR-102, by reducing the peak plasma concentrations and providing continuous exposure of Docetaxel using our advanced polymer conjugate technology to create NKTR-105's, we hope to achieve improvements in both efficacy and safety. The preliminary PK data from Phase 1 study demonstrate that we have in fact significantly altered the PK profile of Docetaxel. Whereas Docetaxel has a high Cmax, NKTR-105 exhibited a markedly reduced Cmax and a significantly prolonged half life of approximately 20 days, thereby providing continuous exposure of drug to tumor in a typical three week cycle. The Phase 1 study of NKTR-105 will also be highlighted in an ASCO presentation. On Monday, June 7th, our ongoing Phase 1 clinical trial of NKTR-105 will be featured in a presentation during a new poster session at this years ASCO called trials in progress. The session focuses on the background of the science behind the drug in order to highlight studies of interest to clinical investigators. The session is designed to stimulate discussion of potential successor studies for NKTR-105 as well. In our Phase 1 study for NKTR-105, we are enrolling 30 or more patients with a variety of advanced solid tumors. Patients are receiving escalating doses of NKTR-105 and the ends points for the trial are safety, PK and anti tumor activity. To date, there have been no dose limiting toxicities reported with NKTR-105. Enrollment of the studies continues to go well and we anticipate reporting data in the second half of this year. NKTR-102 and NKTR-105 are the first Nektar programs focused on developing next generation cytotoxic agents. Chemotherapies are the most widely prescribed anti cancer agents today with over $12 billion in sales annually. However, these drugs can have suboptimal PK profiles including high peak plasma concentrations that potentially limit their efficacy. In addition, these agents have poor tolerability profiles that can limit their usage. We believe that a number of chemotherapies could be improved by the application of our technology, including additional cytotoxics as well as targeted therapies such as tyrosine kinase inhibitors and proteasome inhibitors. As with NKTR-102 and NKTR-105, if we can improve and better control the peak plasma levels of these agents and extend tumor exposure to drugs, we potentially have an enormous opportunity to greatly improve the field of chemotherapeutics. Over the past two years, we have made a significant investment in R&D to explore a variety of potential applications for our technology and that investment is paying off as evidenced by our successes with NKTR-102 and NKTR-118. The most exciting thing about our advanced polymer conjugate platform is that it is providing an extremely flexible and innovative technology that could be applied to different classes of known molecules to re-engineer them and design new chemical entities. The resulting novel therapeutic candidates have desired pharmaceutical properties such as improved bioavailability in PK profiles as well as targeted drug distribution within the body. We have built a deep and impressive pipeline over a short period of time with drugs in development, ranging from early preclinical through drug candidates poised to enter Phase 3 development. I'd like to spend a moment today highlighting the depth of our pipeline by reviewing the three preclinical candidates that build on the ability of our polymer conjugation platform to modulate penetration of oral drugs into the CNS. NKTR-181 and NKTR-194 are potentially safer opioids that target different segments of the pain market and are designed to have reduced side effects and lower potential for abuse. NKTR-171 is designed to treat neuropathic pain. Each of these unique research candidates represent a major commercial opportunity and demonstrates the value and flexibility of our technology platform when employed with a range of chemical structures. With NKTR-181, we're using our advanced polymer conjugate technology with a goal of designing a novel opioid drug candidate with a reduced and regulated rate of entry into the CNS. One of the main challenges and complaints that physicians have with prescribing opioids for severe pain is the risk of patients dying in their sleep due to opioid induced respiratory depression. By reducing and slowing the rate of uptake of the opioid concentration in the brain, we have designed NKTR-181 to have the potential for less respiratory depression. In addition, regulating CNS entry of the opioid could eliminate the euphoria associated with traditional opioids and significantly reduce or eliminate the psychological basis for addictive behavior. Sedation, another common complaint of patients taking painkillers which can prohibit their ability to perform everyday activities may also be reduced with NKTR-181. We have seen excellent results to date in efficacy, sedation and abused liability animal models for NKTR-181 and our plan is to advance NKTR-181 to IND stage this year. If NKTR-181 demonstrates approved safety profile with less potential for abuse than existing therapies available, it could become the opioid of choice for physicians and patients. Our second training program, NKTR-171, uses our advanced polymer conjugation technology with the goal of re-engineering a tricyclic antidepressant into a potent therapy to treat neuropathic pain by keeping the drug out of the CNS. Tricyclic antidepressants have been used over 20 years to provide pain relief to patients experiencing neuropathic pain. However, they're associated with adverse CNS effects such as sedation, dizziness and seizures, which can limit physicians from prescribing them. Just as we did with NKTR-118, with NKTR-171 by preventing a drug from crossing the blood brain barrier and targeting its action to the periphery, we afford ourselves the opportunity to transfer a well understood but limited drug into a potentially powerful new therapeutic. In the case of NKTR-194, we are using our technology to create a new opioid analgesic that does not enter the CNS and could be used to treat mild to moderate pain. Our goal with NKTR-194 is to compete in the NSAID market and fill the void left by the COX-2 inhibitors that have been removed from the market. The NSAID's have GI bleeding risks associated with them and of course the COX-2 inhibitors have had cardiovascular issues. If we are successful with NKTR-194, we could address a very large potential market treating patients with mild to moderate pain. We have very good early preclinical data for these programs and we expect to share continued preclinical data on these research developments throughout the year. In addition to these programs we are also exploring other opportunities in the area of pain with new molecular classes of analgesics. Turning to our partner programs, last fall we signed an important collaboration with AstraZeneca with up front and milestone payments of up to $1.5 billion for the development and commercialization of NKTR-118 and NKTR-119 as well as significant double digit royalties that are the equivalent of maintaining at least a one third ownership of the drug. NKTR-118 is an oral once daily tablet designed to treat opioid induced constipation or OIC and AstraZeneca was attracted to this program by the positive Phase 2 clinical trial data we released for the program last year. OIC represents a significant problem for patients suffering from chronic pain and NKTR-118 has the potential to dramatically improve patient quality of life and allow uninterrupted pain relief therapy. NKTR-119 combines an opioid with NKTR-118 to provide a novel analgesic without the constipation found with traditional opioids. AstraZeneca expects to complete the Phase 3 program design for NKTR-118 in the near term and we anticipate AstraZeneca will provide updates on the program throughout the year. Now let me take a minute to highlight updates from our portfolio of late stage partnered programs which include Amikacin Inhale and Cipro Inhale with Bayer, Hematide with Affymax and LEVADEX with MAP. For Amikacin Inhale, our partner Bayer is continuing to prepare for Phase 3 studies and we are in the process of manufacturing devices for these trials. We expect Bayer to initiate these studies this year. Cipro Inhale, which is in Phase 2 development was granted orphan drug designation by FDA. We're also very pleased that Affymax recently announced that they completed their four Phase 3 studies for hematide in renal anemia and they expect to present top line results from these studies in June of 2010. Finally MAP has indicated that patients in their pivotal trials for migraine are also expected to complete treatment this year. We are enthusiastic about the prospects for these drugs and their continued progression through late stage development and their future potential economic value to Nektar. In closing, Nektar's demonstrated ability to leverage our advanced polymer conjugate technology with small molecules, antibody fragments and biologics and create novel high value compounds is what makes our company unique in our industry. Our team is determined to execute on our objectives this year and continue to advance Nektar's promise and progress through the clinic. I am proud of what our Company has achieved and I'm excited about our future. And now I want to turn the call over to John Nicholson for a review of our first quarter financials.
John Nicholson: Thank you, Howard, and good afternoon, everyone. We ended the first quarter with $362 million in cash. Revenue in the first quarter increased to $33 .2 million, versus $9.7 million in the first quarter of 2009. Research and development expenses were $23.3 million in Q1, as compared to $23.4 million in Q1 2009. G&A expenses declined to $9 million in the first quarter of 2010, from $11 million in the first quarter of 2009. Total operating costs and expenses decreased by approximately 9% in the first quarter of 2010, as compared to the first quarter of 2009. Our financial guidance for 2010 remains unchanged. Revenue for 2010 is expected to be between $155 million and $165 million. As a reminder, the revenue projection for 2010 includes amortization of approximately $100 million from the upfront payment of $125 million you see from AstraZeneca from 2009. R&D expense for 2010 is anticipated to be between $110 million and $115 million, as compared to $95 million in 2009. Our development expenses for 2010 include a continued investment into our Phase 1 clinical study of NKTR-105 and Phase 2 studies of NKTR-102 in ovarian, breast and colorectal cancers as well as preparing NKTR-102 for Phase 3 in ovarian cancer. In addition, our research expenses include preclinical studies for new pain and oncology compounds, and other clinical areas, as well as activities at our facilities in Huntsville, Alabama and Hyderabad, India to bring NKTR-181 to an IND stage later this year. G&A expense for 2010 is anticipated to be approximately $41 million, essentially consistent with 2009 levels. Included in this amount is approximately $8 million of non cash items, consisting mainly of depreciation and stock compensation expense. Capital expenses were ongoing operations expect to be $10 million for 2010. Ten improvements are proceeding on budget and according to schedule for Nektar's new mission bay research and development center in San Francisco. As I said last quarter these ten improvements will be approximately $25 million. We anticipate moving into the facility by the end of this year. As a reminder under the terms of lease we will not pay any rent for this facility until August 2014. We expect to end this year with $265 million and $275 million in cash and investments. This anticipated year end cash balance does not include any payments related to a potential NKTR-102 partnership. With that I will now open the call to questions. Operator?
Operator: (Operator Instructions) And the first question will come from the line of Cory Kasimov, JPMorgan.
Cory Kasimov – JPMorgan: Hi, good afternoon. Actually this is Mona here on behalf of behalf of Corey. I have two questions, one regarding NKTR-102, I was wondering if you can speak about what is new in the data, but we will see it the data from the full 71 patients and are there still patients on drug at this point? And then just related to that, I understand it's early but would love to hear your preliminary thoughts on what the Phase III, 102 and ovarian would look like and if that is something you would consider initiating only once you have a partner, or is that independent? Thanks.
Howard Robin: Sure, well, we will be presenting the full 71 patients at ASCO in the oral session and I'm hopeful that you will attend. I think it will be an interesting presentation. With regard to your question about preparing for Phase III or at least moving forward in Phase III, we're certainly preparing for Phase III, but as I said earlier in the discussion that we are talking to a number of companies, they are highly interested in a collaboration in NKTR-102 and while we are preparing for Phase III in the sensitive CMC and production and everything that has to move forward to get ready for a Phase III study in ovarian cancer, I think it is too soon to discuss whether that will happen with or without a partner. At this point I strongly believe that we will have a collaboration for NKTR-102 and I think the different flavors of that collaboration may lead us to slightly different paths. So, I think we'll have to wait and see as to what that collaboration looks like.
Cory Kasimov – JPMorgan: Okay. And then I have a another question, just wondering if you could provide an update on the negotiations with Amgen regarding in your agreement.
Howard Robin: Well look as we have said in prior meetings. We're having discussions with Amgen. I can't tell right now how they will progress. Assuming that the economics makes sense to both companies and then perhaps we can reach an agreement. If they don't, as we've already said, we believe that our obligation to manufacture under the terms of the contract expires this year. So let's see how that progresses.
Cory Kasimov – JPMorgan: Okay. Thanks.
Operator: And your next question will come from the line Bert Hazlett of BMO Capital Markets.
Bert Hazlett – BMO Capital Markets: Yes. Thank you. I have actually two separate questions. Howard if you would be so kind us to, you've discussed the potential for several different partnership structures. Could you give us a sense of what may be on the table and what maybe off the table in terms of those partnership structures? And, then secondly, in terms of how you think about the opportunities that are earlier-stage in the pipeline going forward, how are you contemplating the choices between oncology and those efforts there, and the pain platform and those effort there? What should we focus on as investors trying to evaluate and value those efforts?
Howard Robin: Okay. Well, two good questions. To your first question, look, there are lots of possibilities for what a collaboration could look like. It would be totally inappropriate for me to define what's on the table and you can imagine there are lots and lots of flavors here. So, as I've said, we will put together a deal or transaction, collaboration that really works in the best interests of our shareholders, and that could have many different possibilities, and there are many companies that are, as you can imagine, highly interested in NKTR-102. So, I think well have to wait and see what that looks like. Probably not appropriate to be discussing it in at level of detail at this time. With regard to your second question, I think the focus is pretty clear for us. Look, there is no doubt that we can apply our technology to chemotherapeutics and greatly enhance their efficacy and safety. Some people think chemotherapeutics are old market, last decade's technology, etcetera. I hear that once in a while. The fact is, there are over $12 billion in annual sales of chemotherapies in the U.S., and I don't think they're last decade's technology. And the fact is there could be even greater sales of chemo therapeutics if you could engineer them to have a better safety and efficacy profile which is exactly what we are doing. NKTR-102, NKTR-105 are examples of that kind of progress. So, I think you will see INDs filed for other chemotherapeutic agents. I'm not prepared to tell you which ones they are today but clearly in our research activities we have other chemotherapeutics that are moving forward in our preclinical pipeline. Now that said, we have also had tremendous success as you know with NKTR-118 in keeping the bloods from transitioning the blood drain barrier, keeping them out of the CNS and therefore we have take NKTR-171, NKTR-181 and NKTR-194 in advance in our preclinical activities and we've said we want to bring NKTR-181 to IND stage this year. Now, use that as an example. If you can take an opioid, another $10 billion U.S. market, by the way, if you can take an opioid, and let it GED into the CNS slowly, reduce the euphoria, so there is less psychological benefit -- less psychological addiction present, and also by getting taking it into the CNS slowly, reducing the risk of respiratory depression and ultimately death from respiratory depression, if you could convey on that drug those two benefits then you ought to have the opioid of choice. So, that's a very, very important program, and the reason we've accelerated it is because we've already seen what NKTR-118 that we can keep drugs out of the CNS. So, I think it's very clear for a company the size of Nektar to focus its activities on chemotherapeutic where we know we're having success, and keeping drugs from crossing the blood brain barrier where we also know we're having success, and I think, therefore, those are the areas you should be focused on.
Bert Hazlett – BMO Capital Markets: Thank you.
Operator: (Operator Instructions) The next question will come from the line of Shiv Kapoor, Morgan Joseph. Please proceed.
Shiv Kapoor – Morgan Joseph: Thanks, I actually have most of my questions answered, on the call, but I want to ask a couple of general questions. First, beyond 118 and 102 and 061, I think are the most exciting drugs in the pipeline that you are working on in early stage, and why? And, second, Howard, what are the risks that you worry about at night?
Howard Robin: Well, I assume you mean the business risks?
Shiv Kapoor – Morgan Joseph: Yes.
Howard Robin: Look, I think, if you look at the preclinical pipeline, as I just said, 181 for me is a very, very exciting compound. I mean, to have at least the potential to become a dominant opioid therapy, as I said, the market in the U.S. for opioid therapies alone is $10 billion a year U.S. So, if you have an opioid that doesn't cause respiratory or causes less or doesn't cause respiratory depression, has less abuse potential and, by the way, it inherently in that drug is the ability or the design, which limits the ability to tamper with the drug. So, we're not even talking about tamper-resistance, which is already inherent in the molecule in that you can't separate the peg from the opioid, so that is inherently in this drug. We're talking about tamper resistance, we're talking about less abuse liability and we're talking about safety. That could become the opioid of choice. So it's a very, very exciting program, also NKTR-194, if you can develop an opioid which, as you know, if you keep it out of the CNS has very few side effects to replace NSAIDs, COX-2 inhibitor another potentially enormous market. So, I think what we are doing in the area of pain is exciting. I think if you look at what we have available to us although NKTR-105 is the only other chemotherapy that we talk about because it is in Phase I, there are many chemotherapy agents that we're looking at in preclinical and we'll be discussing some of them later this year. That's also very exciting, so what keeps me up late at night sometimes is where do you pick from? How do you prioritize at Nektar? There are so many opportunities for this company to apply our small molecule polymer conjugate technology platform. The challenges is finding the right 10 things, the right 20 things. There are probably hundreds of opportunities, and I think what keeps me up at night if you really want to know, is how do we prioritize properly and how do we advance the company as rapidly as we possibly can. And I think so far we have been doing a pretty good job with it.
Shiv Kapoor – Morgan Joseph: Thank you so much.
Operator: And there are no more questions in the queue at this time. I would like to turn the call back to Howard Robin for closing remarks.
Howard Robin: Well, look, I think Nektar has a powerful and proven technology platform that really is now validated for large and small molecules, and with our diversified pipeline of, I think, highly promising therapies, and therapeutics, a strong financial position, and a talented team executing on our goals, we are steadily demonstrating what makes Nektar exceptional. I look forward to seeing many of you at Nektar's dinner event at ASCO in Chicago. The event will be held on Sunday, June 6 at the Fairmont Hotel, beginning at 6:30 PM and it will conclude a presentation by the Dr. Dr. Vergote on the results from NKTR-102 as well as the Q&A session. So, I look forward to seeing many of you there. Thank you for attending, good afternoon and please stay tuned to Nektar. Thanks a lot, bye-bye.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. You may now disconnect and have a great day.